Operator: Good day and welcome to the Q2 2017 Ship Finance International Limited Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Ole Hjertaker, CEO. Please go ahead.
Ole Hjertaker: Thank you and welcome everyone to Ship Finance International and our second quarter conference call. With me here today, I have our CFO, Harald Gurvin and Senior Vice President, Andre Reppen. Before we begin our presentation, I would like to note that this conference call will contain forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. Words such as expects, anticipates, intends, estimates or similar expressions are intended to identify these forward-looking statements. These statements are based on our current plans and expectations and involve risks and uncertainties that could cause future activities and results of operations to be materially different from those set forth in the forward-looking statements. Important factors that could cause actual results to differ include conditions in the shipping, offshore, and credit markets. For further information, please refer to Ship Finance’s reports and filings with the Securities and Exchange Commission. The Board has declared a quarterly dividend of $0.35 per share. The dividend is lower than in the previous quarter, reflecting the current uncertainty relating to the Seadrill charters and also lower profit split from the tankers. While we do not know the final outcome of the Seadrill restructuring, we believe the market has already discounted the worst case scenario for Ship Finance as with prior to this dividend reset we are trading at more than 13% yield. And once the Seadrill restructuring is behind us, we will be able to return our focus to growing our cash flow by evaluating acquisitions that maybe accretive to our dividend. The $0.35 dividend represents $1.40 per share on an annualized basis or 10% dividend yield based on the $13.70 closing price yesterday. This is our 54th consecutive dividend and they have not paid more than $23 per share in dividends or $1.9 billion in aggregate since 2004. Aggregate charter revenues recorded in the quarter, including a 100% owned subsidiaries accounted for as investment in Associate was approximately $150 million and the EBITDA equivalent cash flow in the quarter, was approximately $118 million. Last 12 months, the EBITDA equivalent has been approximately $471 million. The reported net income for the quarter was $20 million or $0.22 per share, but adjusted for certain non-cash amortization of deferred charges of $2.3 million and a $5.7 million negative mark-to-market valuation non-cash of hedging instruments, the net income was approximately $0.30 per share. In June, the jack-up drilling rig Soehanah started its drilling operations for a national oil company in Asia for a period of 12 months with an option to extend the charter by an additional 12 months. The rig was previously idle, but will now earn a net bareboat rate of approximately $10,000 per day, with full cash flow effect in the third quarter. Today, we also took delivery of the second of two 114,000 deadweight ton product tankers also called LR2 type. The vessels have been chartered out on time charter basis to Phillips 66 with a minimum period of 7 years, plus 5 optional years. The minimum period represents a backlog of approximately $113 million and the aggregate annual EBITDA contribution from the vessels is estimated to approximately $11 million on average with full cash flow effect in the fourth quarter. We have over the last few years primarily invested in new design container vessels between 9,000 and 19,000 TEU and most of our vessels are chartered to the world’s two largest container lines. This quarter, we had full cash flow effect from the second ultra-large 19,000 TEU vessels to MSC and over 22 container vessels only the 2010 built 1,700 TEU container vessel, SFL Avon, is operated in the short-term charter market. We also have two car carriers, the Glovis Conductor and the Glovis Composer and we have now agreed to extend the charters until mid-2018. The base charter rates for the extension is lower than the current level of approximately $24,000 per day and the charters include a repositioning period from Europe to Asia. Net rate is estimated to $12,000 to $13,000 per day on time charter basis depending on availability of cargo for the reposition period. Given the balance in the car carrier market with very few vessels under construction our preference has been to charter up these vessels for a shorter period at this stage, instead of looking in the vessels for a longer period now. And over the 5-year-period the vessels have been on charter to Glovis we have amortized down the debt significantly and thereby reduced the breakeven level going forward. Owning a significant fleet of vessels also means that we will have to continuously renew and diversify the fleet. We have recently sold the 17-year-old VLCC Front Scilla and the 20-year-old Suezmax Front Brabant to unrelated third-parties and terminated the respective charters to Frontline Shipping Limited. We now have nine crude oil carriers remaining on charter to Frontline and older vessels are VLCCs. This is down from nearly 50 vessels at the peak in 2004. The profit share arrangement of these vessels have provided us with interesting leverage to the tanker market and kicks in already from $20,000 per day for the VLCCs. In 2015, we also changed the profit split calculation from annual to quarterly basis, adding optionality value for us. And this quarter we benefit by this as there is no call back of the $5.6 million profit split earned in the first quarter. For the third quarter Frontline is guiding $16,800 per day for 62% of their VLCC capacity, which also includes their newer vessels. We therefore believe earnings on our vessels will be below the profit share threshold this quarter as well unless the market strengthened significantly towards the end of the quarter. In addition to the Frontline vessels, we also have exposure to the crude oil tanker market through two modern Suezmax tankers which are traded in a pool with sister vessels owned by Frontline. For these vessels the average charter rates in the second quarter was approximately $27,000 per trading day compared to our breakeven level of approximately $17,000 a day after interest and amortization for those vessels. In 2017 we have covered nearly three quarters of the vessel days with a combination of charters for the flow rate and profit split which serves as a buffer in the current soft markets and still with some upside if and when the market strengthens. And in addition to these crude oil tankers, we have the new building 114,000 deadweight ton product carriers to Phillips 66, which I have mentioned earlier and also two [ph] 2008 build chemical carriers chartered until next year. We now have 22 drybulk vessels in the fleet with 15 larger vessels chartered out on long-term basis and 7 Handysize vessels traded in the spot market. One of our long-term objectives is to combine stability and predictability in cash flows with optionality as we have seen over time that market volatility can generate super returns from time to time. So when we negotiated the deal with Golden Ocean for 8 Capesize bulkers in 2015 we included our 33% profit split in addition to the base rate. At the time not much value was attributed to the profit split due to a soft chartering market. But we see now charter fixtures a level above our base rate of $17,600 per day. And going back in time and even if we exclude the Chinese super cycle for bulkers from 2004 to 2008, we have seen charter rates levels well in excess of our base rates. So while we did not expect the rebound to happen so soon, we are not surprised to see market rates move upwards. The profit split will be based on actual performance by these specific vessels, so we cannot guide you on if and when a profit share will materialize on the Capesize bulkers, but as the profit share is calculated and payable on a quarterly basis, we believe there is good probability for profit shares over the remaining 8-year charter period. For the 7 Handysize drybulk carriers we currently trade in the spot market, the rates achieved in this quarter were approximately $7,000 per trading day which is in line with the previous quarter. They are indications that market sentiment may be gradually improving for this segment as well and we intend to continue trading these vessels in the spot market until long-term rates improve. We have the last two quarters discussed our drilling rigs and corresponding charters at length and in particular the three rigs on charter to Seadrill. These rigs are chartered to fully guaranteed subsidiaries of Seadrill and last quarter they contributed approximately $0.16 per share to our distributable cash flow. One of these rigs, the West Linus is sub-chartered to ConocoPhillips on a charter originally set to expire in May 2019, but which was recently extended until 2028 adding significant backlog for Seadrill. Our other two drilling rigs chartered to Seadrill, the West Taurus and West Hercules are currently idle, but the harsh environment rig, West Hercules has recently been awarded a short-term contract for CIRCOR Energy in the UK starting in the first half of 2018. Ship Finance acquired the West Taurus and the West Hercules in 2008 at an approximately cost of $850 million per rig and commenced 15-year charters to Seadrill upon the respective deliveries. We structured the charter such that half of the aggregate charter hire was received over the first 5 years of the charters with the balance spread out of the remaining 10. While around 6 years remain on the charters, around 70% of the aggregate charter payments have already paid to Ship Finance as illustrated in the chart at the right side. And West Linus, the jack-up rig was delivered some years later, but the charter has been structured in a similar fashion. The Ship Finance has amortized nearly 60% of the loans associated with the drilling rigs chartered to Seadrill. The initial debt on the three rigs of $1.9 billion has been reduced to just over $800 million and of this aggregate outstanding loan balance, only $235 million or less than 30% is guaranteed by Ship Finance. Seadrill is in the midst of negotiating a comprehensive restructuring plan and has announced that they are in advanced discussions with various creditors and certain third-party and related party investors and the secured lenders on the recapitalization of the company. Seadrill has informed the market that such restructuring will most likely involve Chapter 11 proceedings in the U.S. on or before September 12, 2017. Ship Finance has engaged in constructive talks with Seadrill as we believe it will be in all parties’ interest to take a proactive approach in order to find a sustainable long-term arrangement. This also excludes discussions with the banks that are financing the three rigs in order to find a balanced solution. And so far, Seadrill has continued to perform on its obligations to us. We can unfortunately not make any further comments relating to this restructuring or the communication we may have had with any of the parties involved. But our objective is as always to maximize long-term value for our stakeholders. And as I mentioned earlier, the 2007 build drilling rig Soehanah is now employed under a drilling contract with a national oil company in Asia for a period of 12 months, with an option to extend the charter by an additional 12 months. This is through Apexindo and the net favorable revenues to us are approximately $10,000 per day with full cash flow effect this quarter. This rig is debt free. So, there are no financing expenses. If we then switch to our performance last 12 months, the normalized contribution from our projects, including vessels accounted for its investment in Associates, the EBITDA defined as the charter hire plus profit share less OpEx and general and administrative expenses was $471 million in the period. Net interest was $108 million or approximately $1.15 per share at our normalized ordinary debt installments relating to the company’s projects was $178 million or approximately $1.92 per share in the 12-month period. This is excluding prepayments relating to sale of all their assets or refinancings. Net contribution after this was $182 million or $1.95 per share over the last 12 months. And for the same period, we have declared dividends of $1.17 per share or $159 million in aggregate. And for this illustration in the second quarter alone, the net contribution from our assets after interest in ordinary debt installments was approximately $0.46 per share, while the declared dividend is $0.35 per share. From our inception 13 years ago, we have paid out approximately 80% of net income in dividends, which illustrates the moderate dividend policy and it has allowed us to significantly grow our business organically. And with that, I will give the word over to our CFO, Harald Gurvin who will take us through the numbers for the second quarter.
Harald Gurvin: Thank you, Ole. On this slide, we have shown our pro forma illustration of cash flows for the second quarter compared to the first quarter. Please note that this is only a guideline to assess the company’s performance and is not in accordance with U.S. GAAP. For the second quarter, total charter revenues were $147.2 million or $1.57 per share, up from $143.8 million in the previous quarter. VLCC and Suezmax revenues were slightly down in the quarter mainly due to the sale of 2 VLCCs and 1 Suezmax tanker in the first and second quarters. Liner revenues were up in the quarter mainly due to the full quarter of earnings on the second 19,200 TEU container vessel delivered in March. Drybulk revenues were slightly up, mainly due to improved earnings on the smaller Handysize drybulk carriers trading in the spot market. Offshore revenues were also slightly up due to an extra day of earnings in the second quarter compared to the first quarter. Further, the jackup drilling rig Soehanah commences new bareboat charter at the minimum rate of $10,000 per day in the end of June which will have full effect in the third quarter. There was no profit share under the 50% profit share agreement with Frontline compared to $5.6 million in the previous quarter. The crude oil tanker market remains at soft levels during the second quarter and also so far in the third quarter. So overall this summarizes to an adjusted EBITDA of $117.6 million for the quarter or $1.26 per share, only slightly down from $1.27 in the previous quarter, despite no profit share in the second quarter. We will then move on to profit and loss statement as reported on the U.S. GAAP. As we have described in previous earnings calls, our accounting statements are slightly different than those of a traditional shipping company. As our business strategy focuses on long-term charter contracts, a large part of our activities are classified as capital leasing. As a result, a significant portion of our charter revenues are excluded from U.S. GAAP operating revenues and have set booked as revenues classified as repayment of investment and finance leases, results in associates and long-term investment and interest income from associates. If you wish to getting more understanding of our accounts we would also this quarter published a separate webcast which explains the finance lease accounting and investments in associates in more detail. This webcast can be viewed on our website shipfinance.bm, under investor relations and webcast. Overall for the quarter, we reported total operating revenues according to U.S. GAAP of $94 million. We also recorded a net gain of $800,000 on the sale of vessels and termination of charters, which includes compensation received for the termination of the previous charter for the jackup drilling rig Soehanah, a gain on the 5-year higher purchase lease agreement with MSC for the 1,700 TEU container vessel MSC Alice, offset by a loss on the sale of the 2 older tanker vessels in the second quarter. Total operating expenses were $56 million, resulting in an operating income of $39 million. Interest expenses were up in the quarter mainly due to the third full quarter of interest expense under the lease financing for the second 19,200 TEU container vessel delivered in March. We also recorded a negative non-cash mark to market of derivatives of $5.7 million during the quarter and $2.3 million of negative non-cash amortization of deferred charges. So overall and according to U.S. GAAP, the company reported net income of $20 million or $0.22 per share. Moving on the balance sheet, we showed $249 million of consolidated cash at the end of the quarter excluding amounts freely available for drawdown under revolving credit facility. The strong cash position is due to drawings under revolving credit facilities during the quarter. In addition, we had $9 million in restricted cash relating to a short-term guarantee. Current portion of long-term debt includes the remaining $184 million [ph] outstanding under the $350 million convertible notes due February 2018, which include a share settlement option at maturity. Further, the financing of the Frontline vessels matures in June 2018. This financing is just above current scarp level for the vessels with an outstanding amount at quarter end of $178 million, which has been reduced to $171 million following the sale of the Suezmax tanker in July. Stockholders equity was approximately $1.1 billion giving a book equity ratio of 35% at the end of the quarter. Then looking at our liquidity and financing status, the company had total available liquidity of approximately $279 million at the end of the quarter, which includes approximately $29 million freely available under revolving credit facilities. Available for sale securities of $111 million includes investment in senior secured bonds and other securities with a fair value of $48 million at quarter end and also our 11 million shares in Frontline, with a market value of approximately $2 million based on the closing share price yesterday. We have secured a $76 million bank financing at attractive terms for the 2 newbuilding product tankers which are both delivered in the third quarter. The remaining CapEx at quarter end was approximately $65 million getting a positive net cash effect from the financing. The financing term is 7 years matching the term of the charters with Phillips 66 and will have limited recourse to Ship Finance who will provide a $30 million guaranty. In June, we also issued NOK500 million in senior secured unsecured bonds in the Scandinavian market equivalent to approximately $60 million. The 3-year bonds have a coupon at NIBOR plus 4.75% and all payments have been swapped to U.S. dollars at a fixed rate of 6.9%. The proceeds of the bonds were used to partly refinance the NOK600 million bonds during October ‘17. The remaining outstanding was settled post quarter end following the exercise of the call option by the company. Then to summarize, the Board has declared a quarterly cash dividend of $0.35 per share for the quarter. This represents a dividend yield of 10% based on the closing share price yesterday. Net income for the quarter was $0.22 per share or $0.30 per share adjusted for certain non-cash items. We continue our fleet renewal with the sale of 3 of the older tanker vessels and delivery of the 2 product tankers with 7-year charters to Phillips 66. We have a strong liquidity position with $279 million in available liquidity at quarter end in addition to $111 million in marketable securities and no remaining CapEx following delivery of the two product tankers in August. And with that, I give the word back to the operator who will open the line for any questions.
Operator: Thank you, sir. [Operator Instructions] We will now take our first question from Magnus Fyhr from Seaport Global. Please go ahead. Your line is open.
Magnus Fyhr: Yes, hi. Just a couple of questions. I guess the first one on the dividend, what kind of assumptions went into that $0.35 number as far as future cash flows?
Harald Gurvin: Well, the dividend is set by the board on a quarter-by-quarter basis and it’s typically not specifically tied to the quarterly results isolated, but more based on a long-term view and a balanced view for what the Board believes is more sustainable level on a longer term basis. Of course, we do not know currently, I cannot make any comments relating to the Seadrill restructurings and the discussions that we may have there, but the Board believes that a $0.35 dividend is a sustainable level. And also if you look at the share price and how that share has actually been trading, we are still in excess of 10% dividend yield. So, we believe this is – it has already been priced into the stock for some time.
Magnus Fyhr: Okay. And with the distributable cash flow potentially declining, what type of payout ratio are you guys comfortable with going forward?
Harald Gurvin: Well, we are not tying it to a specific payout ratio based on individual quarterly results as we know the quarter results may vary over time. What we focus on is we basically look at this management and our recommendation to the board, we base this on what we believe is long-term sustainable revenues from a various assets, asset by asset effectively. And then based on that, we make a recommendation to the board on what we believe is a sustainable level and that’s really – that factors in when there is uncertainty, we factor that into our effectively then long-term recommendation, but there is no specific payout ratio as such. But if you look at the long-term, in the long-term picture, we have paid out around 80% of net income from our inception. And I think for a dividend yield type company that is quite moderate. We have seen other dividend – other companies with significant dividends who have paid out over time significantly more than what they have earned. We believe that is – well, to do that you have to assume that your assets are going up in value and therefore that your depreciation is effectively wrong. And while we have taken a more conservative approach and paid out less than our net earnings over time which of course also has meant that we have been able to grow organically and not only by raising capital every time we buy new assets.
Magnus Fyhr: Okay. And once you – I mean you mentioned that you may start to focus on new projects once the Seadrill restructuring is behind, where do you currently see the best opportunities for Ship Finance as far as expanding further, is the container still one of the better areas?
Ole Hjertaker: Well, containers are still interesting. I mean it’s been down – there has been sort of a downturn on the container market for a time, it’s come back, it’s corrected back somewhat. We don’t see much ordering now on the containers side. There are rumors that some of the liners are looking at big assets again. But it’s been relatively slow from a comp ordering perspective or new building perspective. But yes, we believe containers are still interesting. These are assets that typically go into logistics systems where the users, the container lines have a long-term use for the assets within their systems. We also see opportunities on the tankers side and right now probably more on the LNG side – gas side. But there are also opportunities on the tankers side. So I think it’s fair to say that we see opportunities across the board and we are while we have been of course careful to ensure that we maintain a very strong balance sheet also what we say factoring in uncertainty around the Seadrill restructuring, we have continuously of course screened for new projects that we have taken a conservative approach and we believe that doing that is prudent. At the same time we see now that asset values and new building values and also fully deployed values based on what new building costs have come down to quite attractive levels in several segments. So we believe that from a cycle perspective it’s an interesting – it’s interesting point of time to invest capital. But of course we have to make sure we do that with the right assets and we work with the right customers and not least that we work with sound call it conservative assumptions, so we don’t get an asset surprise at the end of the charter if effectively the depreciated value then is higher than what the market may be. So it’s all a balanced approach. We do see project opportunities, but I cannot comment specifically on what we do. We prefer to try to do the right deals and not sort of promise a certain percentage in any specific segment because that could lead us to do the wrong – make the wrong decisions.
Magnus Fyhr: Okay. So would it be fair to assume that you would not any deals until you this Seadrill restructuring behind you?
Ole Hjertaker: Nothing we should never say never, but I think as Seadrill has communicated that their restructuring is pending within just a few weeks now, I think it’s fair to say that until that is certainly clarified and we have more visibility on sort of the impact on us and our leases we will be careful. But that said, there is hopefully a good chunk and that’s of the year and we will continue to look for deal opportunities obviously.
Magnus Fyhr: Okay, great. Thanks. Thank you, Ole.
Ole Hjertaker: Thank you.
Operator: [Operator Instructions] We will take our next question from Fotis Giannakoulis from Morgan Stanley. Please go ahead. Your line is open.
Fotis Giannakoulis: Yes. Hello, gentlemen and I am sorry if my question were asked earlier, I joined the call a little bit late. Ole, I want to ask you about if there is Chapter 11 for Seadrill, how long do you think that it will take to be clarified what the exposure and Ship Finance is going to be and in relation to that how confident you are that the guarantees that you have provided to the banks for the three rigs are not going to involve West Linus that has already made contract with ConocoPhillips?
Ole Hjertaker: Thank you, Fotis. I cannot unfortunately not comment on the specifics relating to the Seadrill restructuring, as you have seen in other Chapter 11 proceedings, in other companies, it usually takes us some period, takes a few months before it’s finalized. But we believe we just have to wait and see exactly how it plays out relating to our leases. With respect to the financings, we have limited guarantees on the financings – on the bank financing attached to sort of to each of the rigs. And the guarantees there are of course only payable if and when the banks accelerate the loan i.e. and go after the securities which of course includes equally the mortgage over the rig and then our guarantee. So we then in any case have the opportunity at that stage to pay down the loans if that – if we believe that is a better viable opportunity for us and of course then they wouldn’t call on the guarantee and/or nor could they take the asset away from us. But again this is all hypothetical and we have to wait until there is announcement from Seadrill before we can comment on the expected impact on us. And we will – we expect of course to send out the press release whenever there is announcement to be made, we will also set a press release and give more information on status for us and what potential impact would be for our leases.
Fotis Giannakoulis: Thank you, Ole. Just to a little bit clarification about the ConocoPhillips contract, is this contract on the rig or is this contract on Seadrill and how is this structured if – and what would happen if there is Chapter 11, will this contract continue to exist?
Ole Hjertaker: Well, this is into our chartering counterparty who has contracted ConocoPhillips. But in the agreement there, there is a step in right if there is a default type situation. But of course, that ConocoPhillips would then – and then of course if we want – if we would want them to step in, we would have to ensure that we have operational management lined up for the rig to take care of that. Again, very hypothetical, but of course any such step-in would also require the charter’s consent, but we have that built into the agreement that there is a step-in.
Fotis Giannakoulis: Thank you, Ole. One last question about your capital allocation and if you can comment about how do you view the use of your liquidity between supporting or paying dividends and growth and what is your target capital structure, would you envision issuing some preferred or additional unsecured debt, what is the loan to value ratios that we are looking for?
Ole Hjertaker: Well, we will of course try to optimize our balance sheet all the time. We typically – what we do when we do new transactions, we typically finance the transactions isolated and we try to limit the guarantees all depending on where we think the risk profile is and specifically call it project that could one vessel, it could be 10 vessels, but in a package. And typically finance that and so far finance that in the bank market where we have the amortization [ph] on the assets and that’s also how we also think we can justify having some financing at corporate level which currently includes two NOK denominated bond loans and two convertible notes at the parent level. But we – so it’s all about sort of optimizing capital at the different levels and I would also say that leverage its relevant. What we do give out to everyone like who wanted is our full charter backlog asset by asset. And you could say what this a value of an asset in our portfolio, well, one it’s the cash flow they generate and two, it’s whatever residual value you assume after the end of the charter period. And I would say that depending the various counterparties and the various assets should probably depreciated back – this is mathematically with different factors implying the call it the relevant risk in the deal. So we don’t communicate sort of loan to value as such. But what I would say is that we have never been in violation with the covenants in our various loan facilities over the 13 years that the company has been in assistance. So I think we have a very strong standing in the bank market and that we get very good financing in turn. As illustrated by the two – our two prototankers that we have just secured financing for where the amount is higher than the final installment, so you could say that the final deliveries it’s a net cash positive for us. We had the $280 million approximately of cash and available liquidity at quarter end. Then we had $110 million, $115 million of liquid securities on top of that. So I think we have a relatively robust financial position and hopefully decent investment capacity to build our distributable cash flow going forward.
Fotis Giannakoulis: Thank you very much, Ole.
Ole Hjertaker: Thank you.
Operator: We will now take our next question from John Prochaska [ph]. Please go ahead. Your line is now open.
Unidentified Analyst: Good morning. My question is concerning the political and military uncertainty in Asia to what impact is that affecting the company’s outlook and its financial stability?
Ole Hjertaker: Yes. Thank you. We are of course following the developments in Asia closely through the media as I am sure all of us are. Our vessels trade all over the world, so they are not specifically only trading in Asia or within the regions where there is attention. But I would also say that over the years, there is always the attention here or there whether it’s in Korea or North Korea or whether it’s relating to terrorist or sort of the hijacking and in Eastern Africa. So you need to be vigilant. We are of course working very closely with also with our insurance companies and also making sure that our vessels do not violate any trading restrictions on the various governmental rules including of course the U.S. rules. So they trade all over the place. If you look at what the impact of us would be, the question is how will this affect world trade because after all our assets are in the end used to transport primarily raw materials. Tankers and bulkers are basically the cheapest way to move raw material from one place to another. And then container ships and car carriers are more finished goods moving from between the various areas. And what we have seen over time is that the raw material is dislocated from where it’s been used and therefore there has been also in times of call the international conflicts that have always been used for transportation capacity. But more than that it’s difficult to judge a specific impact on us, of course if it should affect the capital markets that would of course have an impact on our ability to raise capital internationally, I am sure, but that’s something that would affect everyone involved in the overall business.
Unidentified Analyst: Thank you. One last question if I may, I came in late, the restructuring under Chapter 11, is this for Ship Finance International or just a subsidiary?
Ole Hjertaker: Well, it’s our customer Seadrill Limited, the drilling operator whom we have [Technical Difficulty] drilling rigs to. So we have owned – we own through our subsidiaries we owned 3 drilling rigs that are chartered into Seadrill to subsidiaries of Seadrill that fully guaranteed by Seadrill. Seadrill is in the midst of a financial restructuring and they have announced that it may well be through Chapter 11 proceedings and they have also indicated that it could be on or before September 12. Of course, when Seadrill and these 3 rigs, which is effectively the charter of the two rigs, file for Chapter 11 that also has an impact on our charters we assume. So, we have engaged in discussions both with Seadrill and also our financing banks relating to this. But I can, unfortunately, not give any specific details on our discussions unfortunately, because I am prohibited to do that, but once it’s clarified in and once Seadrill is announcing something, we will of course also make an announcement on our side giving more details on what we think the effect would be on relating to our charters.
Unidentified Analyst: Thank you.
Ole Hjertaker: Thank you.
Operator: [Operator Instructions] There are no further questions left.
Ole Hjertaker: Thank you. Then I would like to thank everyone for participating in our second quarter conference call. If you do have any follow-up questions there are contact details in the press release where you can get in touch with us through the contact pages on our webpage, www.shifinance.bm. Thank you.
Operator: Ladies and gentlemen, this concludes the Q2 2017 Ship Finance International Limited earnings conference call. Thank you for your participation. You may now disconnect.